Operator: Good day, ladies and gentlemen, and welcome to the ABM First Quarter 2013 Teleconference. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to introduce your host for today's conference call, Mr. Henrik Slipsager, President and CEO, You may begin, sir.
Henrik C. Slipsager: Thank you. I'm Henrik Slipsager, President and CEO of ABM. Joining me today is Jim Lusk, Executive VP and Chief Financial Officer; Jim McClure, Executive VP; and Sarah McConnell, our Senior Vice President and General Counsel. Today, I'll provide an overview of the 2013 first quarter that ended January 31. Jim Lusk will discuss the details of our financial results, and Jim McClure will provide an update of our on-site businesses. And in Tracy's absence, I will then comment on the company's operational result for Building & Energy solutions segment, as well as provide an update on Air Serv. We will conclude our prepared remarks with an update on guidance for fiscal 2013. There's a slide presentation of the company's -- today's call. You may access this presentation now by going to our website at www.abm.com, and under the tab Investors, you will see the Event & Presentation tab. Today's presentation will be the first listed. Sarah?
Sarah Hlavinka McConnell: Thank you, Henrik. Please turn to Slide 2 of the presentation. Before we begin, I need to tell you that our presentation today contains predictions, estimates and other forward-looking statements. Our use of the words estimate, expect and similar expressions are intended to identify these statements. These statements represent our current judgment of what the future holds. While we believe this to be reasonable, these statements are subject to risks and uncertainties that could cause our actual results to differ materially. These factors are described in the slide that accompany this presentation. During the course of this presentation, certain non-GAAP financial information will be presented. A reconciliation of those numbers to GAAP financial measures is available at the end of the presentation and on the company's website under the Investors tab.
Henrik C. Slipsager: Thank you, Sarah. Now please turn to Slide 4 for an overview of our first quarter. We're encouraged by our first quarter operational results, starting with $1.18 billion in revenue, our record, and up 10% from the same period last year due to the 3 businesses we acquired in November, Air Serv, HHA Services and Calvert-Jones and organic growth in our Janitorial, Facility Services and Security segments. As we discussed in our 2012 year-end call, we have realigned our operational structure to an on-site, mobile and on-demand market base structure. This new segment reporting further reflects how we manage and evaluate our businesses. Adjusted income from continuing operation was up over 18% on a per-diluted-share basis, as we benefited from the November acquisition, the retroactive reinstatement of employment base tax credits and new sales. Adjusted EBITDA was up over 7% to $38.6 million and excluding the one-time benefit from historical credits in 2012, increased by over 16%. Integration of all our recent acquisition is progressing well, and I'm pleased with the contribution each business made in the quarter. We signed a large energy retrofit contract with Wright State University and won 2 contracts under the government DLITE program. And we continue to reward our shareholders and announced today that our quarterly -- yesterday, I'm sorry, our quarterly cash dividends of $0.15 per common share. This marked our 188th consecutive dividend. Now I'd like to turn the call over to Jim Lusk for a financial review of our first quarter.
James S. Lusk: Thank you, Henrik, and good morning, everyone. Turning to our first quarter of fiscal 2013 results on Slide 5. Revenues of $1.18 billion for the first quarter were up 10.1% compared to the prior year. As Henrik mentioned, this was due to sales contributions from our November acquisitions and organic growth. Revenue growth was partially offset by a lower sales in Building & Energy Solutions. This segment was impacted by lower revenue of $17.6 million primarily as a result of comparative mix and timing of certain awarded and completed U.S. government contracts. Gross margin for the 2013 first quarter was 9.7%, a decrease of 30 basis points from 10% in the prior year period. This year-over-year decrease in gross margin is a result of an unfavorable quarter-over-quarter comparison from a sales allowance reserve adjustment in the prior year. This was a sustained improvement in credits on clients' receivable. Without the gross -- without that, gross margin was flat at 9.7%. SG&A expense for the first quarter increased $3.7 million or 4.4% to $87.7 million as a result of November acquisitions and new growth initiatives, which we invested $1.5 million in. Amortization of intangible assets for the first quarter increased $1.6 million to $7.2 million. Increase was primarily related to a $2.2 million in intangible asset amortization expense from the November acquisitions. Interest expense increased $0.5 million to $3.3 million from $2.8 million in the 2012 first quarter. The increase was from higher average borrowings to fund the November acquisitions. The average outstanding balance under the company's line of credit was $447.4 million during the quarter compared to an average balance of $312.1 million in the prior year ago quarter. Our effective tax rate on income from continuing operations for the first quarter of 2013, 22.2% compared to 41.2% in the prior year period. The lower rate reflects the retroactive application of employment tax credits from calendar 2012 that were recognized during the quarter. Inclusive of these credits, we expect our effective tax rate in fiscal 2013 to be in the range of 36% to 38%, which is higher than our fiscal 2012 effective tax rate of 32%. Adjusted income from continuing operations was up $2.9 million, or 24.6%, as we benefited from the recent acquisitions, employment-based tax credits and new sales. Congress voted to extend the Workers Opportunity Tax Credit. And based on our hiring practices, the company realized a $2.9 million tax benefit in our first fiscal quarter of 2013. In addition, on a comparative basis, the first quarter of 2012 included a $1.6 million after-tax benefit related to improvement in historical credits on client receivables. Adjusted EBITDA, which excludes items impacting comparability, was $38.6 million for the 2013 first quarter, up $2.7 million from the prior year period due to a $5.4 million contribution from the Air Serv acquisition. In addition, the first quarter of 2012 included a $2.7 million benefit before tax related to the sustained improvement in historical credits on client receivables. Now turning to Slide 6. Day sales outstanding at quarter end were 52 days, up 3 days on a sequential basis and 1 day up year-over-year. Cash used from operating activities for the first quarter of 2013 was $11.5 million, down $23.5 million compared to the same period in fiscal 2012. This is in line with our expectations. Typically, total operating cash flows in the first quarter are lower than the remaining subsequent quarters. Turning now to insurance. Total insurance claim liabilities at January 31, 2013, were $353.5 million compared to $343.8 million at the end of fiscal 2012. Self-insurance claims paid during the quarter, the total expenditure was $20.1 million compared to $20.9 million in the first quarter of 2012. I'd like to now turn the call over to Jim McClure to discuss our on-site services.
James P. McClure: Thank you, Jim. Please go to Slide 7 and 8. I'll now provide some brief highlights of our Janitorial, Facility Services, Parking and Security operations for the first quarter before turning the call over to Henrik for an update on Building & Energy Solutions and Air Serv. Janitorial revenues increased 1.9% for the quarter due to an improvement in new business and a continued focus on account retention. Operating profit was down 4.7%, primarily related to a $1.5 million benefit in the first quarter in 2012 that reduced our sales allowance on client receivables. In spite of the impact of Hurricane Sandy on building closures, we met our revenue and profit expectations with new sales and additional tag work from the hurricane. Tag revenue for the first quarter was up approximately $3 million on both the sequential and year-over-year basis. Moving to client retention. For the first quarter, Janitorial achieved a rate exceeding 98%. We're seeing good sales activity and expect to have continued growth in health care, hospitality and our educational verticals. We are in the process of phasing in a new health care account that has a potential to reach $75 million of revenue this fiscal year. Our top line of future business is also stronger than it has been. Facility Services is a new reportable segment. Business represents on-site engineering services. This segment reported better-than-expected revenues, up 8.2% due to an increased slope of business from existing customers, new business and additional tag work. Operational profit was basically flat due to a reduction in the sales allowance that we saw similar in Janitorial. We have a solid pipeline and are shortlisted on a number of contracts in the second quarter. I feel this business is positioned for a good fiscal 2013. Parking revenues decreased 1.4% in the first quarter compared to prior year due to lower management reimbursement revenues. Excluding these fee arrangements, revenues were flat with the prior year and operating profit was on budget for the quarter. Security had another good quarter continuing to post year-over-year gains in its top and bottom lines as the segment benefits from new business. Revenues were up over 5%, while operating profit was up nearly 100% due to effective cost control measures and new business. I look forward to sharing some of the initiatives we are working on, on our on-site business tomorrow at the Analyst and Investor briefing. With that, I will now turn the call back to Henrik.
Henrik C. Slipsager: Thanks, Jim. Looking at Slide 7 to 9. I will provide an update on our Building & Energy Solutions segment, which includes Energy Services, Government services, the franchise network, as well as our new acquisitions of HHA Services and Calvert-Jones. Building & Energy Solutions revenue decreased 1.3%, reported a slight decrease in operating profit of $0.5 million compared to the first quarter of fiscal 2012. The decrease is primarily due to the government business, partially offset by a $16.4 million of revenues from the acquisition of HHA Services and Calvert-Jones in November. Our target job pipeline is extremely strong, and our cross-selling in national account activity is showing tangible result. In fact, we just signed a $25 million energy retrofit contract with Wright State University. It's a game change for Wright State in terms of sustainability and will reduce the energy consumption significantly. Although it's only been one quarter, we are very pleased with our new HHA acquisition and a strong pipeline of new business. Furthermore, with Obamacare on the horizon, health care reform cause pressures, and we expect this will lead to greater long-term outsourcing and more opportunities for ABM in the future. Our new segment, Other, is comprised of the Air Serv business that we acquired in November. This segment generated $84 million of revenues and $2 million in operating profit, both of which exceeded our expectations for the first quarter. We're very excited about the opportunity in the aviation industry. We recently won a new business with a large based -- U.S.-based carrier at the Dallas/Fort Worth Airport, increment's work at Glasgow Airport in Scotland. Over the next 18 to 24 months, we'll integrate Air Serv with our existing aviation business under one brand, and thereby, position it as a platform for our aviation vertical. With that, I'll turn the call back to Jim Lusk for the outlook for fiscal 2013. Jim?
James S. Lusk: Please turn to Slide 11. Moving now to guidance. For today's call I'm going to provide a list of items that affect our current outlook and guidance for the 2013 fiscal year. Based on the company's operating results for the first quarter and its current expectations, the company's providing guidance for fiscal 2013 of: Income from continuing operations of $1.16 to $1.26 per diluted share; adjusted income from continuing operations of $1.35 to $1.45 per diluted share. Labor workdays are 261, which is one workday less than fiscal 2012. The second quarter of fiscal 2013 has one fewer labor workday. The company estimates one workday of labor expense for the Janitorial segment, in the range of $3.5 million to $4.5 million on a pretax basis. Annual depreciation and amortization expense, because of the recent acquisitions, still expected to increase from fiscal 2012 in the range of $19 million to $21 million. Interest expense anticipated to be in the range of $14 million to $16 million. Capital expenditures are expected to be in the range of $39 million to $43 million. Cash taxes are expected to be in the range of $23 million to $27 million, as the NOLs from the OneSource acquisition near full utilization. Now anticipating an effective tax rate of 36% to 38% versus 32% for 2012. At this time I'd like to open the call up to questions. Operator?
Operator: [Operator Instructions] Our first question comes from Adam Thalhimer with BB&T Capital Markets.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: There's some new segment here. Just curious what kind of margins you anticipate during 2013? I guess, maybe we start with the Air Serv business?
Henrik C. Slipsager: If you look at the Air Serv business, you have to be a little careful, because the way we do the segment reporting, we include the amortization of the job, of that particular vertical. I would say the EBITDA margin that we're looking at will be in the 6% area for fiscal '13.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Got it. And then on Security, Henrik, you had some nice margin improvement there in the quarter. Is that sustainable in your mind?
Henrik C. Slipsager: Yes, it is. It is -- I think as you might have heard me from prior time, it -- Security had a couple of tough years. We saw the improvement starting, I would say, middle of last year, we have seen continuous improvement in the business, both in the top line and the bottom line. We're very pleased with the direction of the company right now.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Okay. And then in the Janitorial business, where do you feel like that business is on a kind of core organic basis? I mean, are you starting to feel whether it's better employment trends or economic indicators -- does that business -- is that starting to feel better to you, Henrik?
Henrik C. Slipsager: I would say, all our businesses right now are feeling pretty good. But I will even tell you that Janitorial is probably the -- I wouldn't say the star, but I have not seen the growth opportunities that I've seen right now. Jim did mention in his presentation that we expect to start some sizable jobs up in the third quarter, fourth quarter. I will be happy to report on it when we've started it up, because learn from the past, things can be delayed. But we have probably seen more positive activity. And I would say, the atmosphere in the Janitorial group is the morale is great. They are absolutely winning more than they're losing.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Right. And then lastly for me, just sequestration. You were a little bit hesitant to provide an outlook for the business last quarter, because of the sequestration risk. Now that it's gone into effect, what impacts do you see from that?
Henrik C. Slipsager: No, I think that -- I don't want to say it's not accurate what you're saying. But I didn't want to do it when we were looking at the fiscal cliff, because nobody knew what that was going to mean. In sequestration, we have a bit of feel of what it's going to mean, not that I want to tell you that I completely understand what it will mean. But for us, we expect it could have a minor impact on our Government business. For fiscal 2013, we don't expect to see anything major. That's why I didn't bring it up in the press release because, we feel it's pretty much under control from our perspective. 2014, 2015, who knows? The other thing I want to bring up is the Government business represents now 3% to 4% of our overall business, so it's not going to be impacting it as much as it has in the past. Lastly, but not least, on a comparison basis, as you might know, the big job we lost in Iraq is now a year ago, and the comparable numbers year-over-year goes a little bit better for the rest of the year.
Operator: Our next question comes from Mike Gallo with CL King.
Michael W. Gallo - CL King & Associates, Inc., Research Division: A couple of questions. Jim, the increase in DSOs in the quarter, what drove that? And do you expect that to reverse here in the coming quarters?
James S. Lusk: Yes, I think DSOs, we'll get it back like we always do. It's definitely one of our core strengths. It's just a timing issue for this quarter. I have no concerns about that at all. It's one of the strengths of this company.
Michael W. Gallo - CL King & Associates, Inc., Research Division: Okay, great. Second question I have is for Henrik. On the Security business, I was wondering, post the Newtown tragedy whether you've seen an increase in demand for Security Services in terms of inquiries?
Henrik C. Slipsager: No, and I'm not seeing any changes in it. I saw that people were trying to also give generous [ph] guns in schools, et cetera. It's not -- it doesn't fit my risk profile. I think that's the best way I can say it to you. So we have absolutely nothing associated with that.
Michael W. Gallo - CL King & Associates, Inc., Research Division: Okay, great. How much was the increase -- how much did the tag business from -- related to Sandy help you from an incremental revenue or operating profit standpoint in the quarter?
James P. McClure: This is Jim McClure. Tags were up about $3 million, and that was pretty much offset the loss in contract revenue that we lost with the closure of the building. So it was pretty much a flat event for us.
Operator: The next question comes from Justin Hauke, R.W. Baird.
Justin P. Hauke - Robert W. Baird & Co. Incorporated, Research Division: Just going back to the new segments that you're reporting under now. I guess, could you talk a little bit more about the management structure. And the last couple of quarters, you've talked about kind of having an on-site versus a mobile offering, and those kind of being run separately. And I'm just wondering how that integrates with the new 6 businesses that you'll be reporting under the structure and kind of the hierarchy of the management team there.
Henrik C. Slipsager: Right. It's -- we moved the Facility Services over to -- which is primarily the on-site engineers, over to Jim McClure. So Jim now is in charge of all on-site services. The purpose of -- and if you're coming tomorrow, you'll see probably a little more detail. The purpose of creating tremendous cross-sell opportunities combined with back-office synergies that we expect to generate out, emerging under one hat. The rest of the business, with the exception of Air Serv, is under Tracy. So Tracy is the guy who's on call for all other services on the building that Jim doesn't provide. We combined those 2 individuals. We combine all Facility Services in the building. Right now, the HHA is under Tracy. The old Linc Group had a group called -- now we call ABM Health, we are looking into merging these verticals together under Tracy's watch and Air Serv is under my watch. It was a sizable acquisition. It was international acquisition. And I want to make sure it's going the right direction before I hand it over to one of my operators.
Justin P. Hauke - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then on the Air Serv division then, I mean, will the other division pull away as that gets integrated into the other groups? Or is the plan there to kind of build out these continued vertical silos and have a. . .
Henrik C. Slipsager: The vertical silos, in my opinion, are 2 things. One is reason for our vertical is that you would -- your service offering can match that particular vertical's need. The other major benefit by looking at the vertical is from the sales and marketing point of view, where you have people educated in that vertical selling these services. We have seen, historically, that we provide -- we get double-digit growth -- we have to have double-digit growth in those verticals ourselves. And with the company's report, we saw the same double-digit growth. I think it's very, very important on the vertical market, just realized, one shoe doesn't fit all. Very good example on the aviation vertical. We see some great international opportunities, and we have seen growth in the -- on the national side, on the Air Serv. And I think you're going to continue to see that for a long-term future.
Justin P. Hauke - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then just one final, final question here. On the 2 DLITE task orders, I think one was $35 million, the other was $11 million. Was there any contribution in the first quarter? Or does that start to flow through in the second quarter and beyond?
Henrik C. Slipsager: There was nothing in the first quarter.
Operator: The next question comes from David Gold with Sidoti.
David Gold - Sidoti & Company, LLC: Can you speak a little bit on the 3 spots, where you saw organic growth, particularly, focused on the Janitorial side? Can you give us a sense as to what you'd attribute it to or what we should read into? Is it some success -- early success from the verticals or market share gains or somewhere in between?
Henrik C. Slipsager: I think, finally, it is a result of the hard work done by the Janitorial group over a longer period of time, trying to focus on certain markets, both in -- within geography as well as verticals. And I honest to God believe for the Janitorial guys, it looks like it's their turn to get a little luck that I don't think we have had the last 2 years. So I think -- I can't pinpoint on one area, other than it seems like, we on the sales side front as well as on the operational front, are 1, 2, or 3 steps ahead of our competitors, which is not a bad place to be.
David Gold - Sidoti & Company, LLC: And same, I guess, question on the Security side.
Henrik C. Slipsager: What was the question? Same question?
David Gold - Sidoti & Company, LLC: Same question, yes.
Henrik C. Slipsager: Yes, I think Security, again, it's growing from a lower base which makes 1 or 2 contracts much more important from the organic growth point of view. But in general, I think they stopped the bleeding. They have now performed growth of not double digit but nice growth over the last 3 or 4 quarters. And we based upon the pipeline and the activity level and the expected cross-selling, I don't see it's going to stop there. I think you might even see greater growth, maybe not in the short term future but the long term future.
David Gold - Sidoti & Company, LLC: Got you. Okay. And then -- and the shift towards industry verticals, what do you think the timetable is until that's sort of humming along and sort of fully implemented?
Henrik C. Slipsager: Well, we have been producing on at least the aviation vertical ourselves for a while, and we are somewhat focused on the education vertical. We just haven't announced it and focused on it as we're doing now. These 2 acquisitions, I think, is going to drive the changes where we're doing this more public and faster than we've done in the past. So I think you're going to see some impact in the second, third and fourth quarter this year and maybe not material. But long term, I expect these verticals to grow greater than the services [indiscernible].
David Gold - Sidoti & Company, LLC: Perfect. One more just to make Jim do a little bit of work. On the receivables side, what should we expect for the rest of the year, obviously, some change in the first quarter?
James S. Lusk: Yes, I think, we'll do better remainder of the year than we did in the first quarter. It's just a timing issue for us.
Operator: [Operator Instructions] The next question comes from Joe Box with KeyBanc.
Joe Box - KeyBanc Capital Markets Inc., Research Division: Jim, you mentioned earlier a $75 million potential health care contract. Can you maybe just talk to the timing, on when you expect to get that signed, and when the contract would potentially start, and just note if it was a multi-year contract or just a single year.
James P. McClure: Yes, the contract is signed. The rollout is proceeding and will be finalized by the end of July of 2013.
Henrik C. Slipsager: I'll just add one thing on that. That it's our expectation we'll have it rolled out by the end of July.
James P. McClure: Yes.
Joe Box - KeyBanc Capital Markets Inc., Research Division: And was that a multi-year, or was that a single-year contract?
James P. McClure: It is a single year contract.
Joe Box - KeyBanc Capital Markets Inc., Research Division: Great. And maybe just taking a step back, I guess, what was the main selling point that won ABM the deal?
James P. McClure: Well really, our footprint. This is a national 317-site location opportunity. And our ability to self perform it in not only primary cities but secondary cities was very attractive to the client.
Joe Box - KeyBanc Capital Markets Inc., Research Division: Understood. Switching gears. Other than the well-publicized contract loss that you guys had in Iraq, were there any other contracts that rolled off in the Building & Energy business? And can you maybe just put some color around what's in the recent wins and the pipeline looks like there?
Henrik C. Slipsager: Yes. Let me first say one thing about the wonderful contract that we're in the process of implementing. Jim mentioned it's a 1-year contract, that doesn't mean that we expect to have it 1 year. It's just contract terms are 1 year. We hope to be there for many, many, many years. On the other question, as you know, these image of retrofit jobs are pretty much what I'll call, hit and miss in a quarter or not in a quarter. Of course, we've closed some of them, other quarters we don't close them. If I look at our sales success this year, we are way ahead of plan, and we do expect that year-over-year our Energy retrofit part will do very, very, very well. We also expect our franchise piece to do well. We sold 15 franchises this year, where we all of last year sold 21, I believe. So I'm not saying that we are going to exceed that, but it's not a bad start of the year, selling 15 compared to 21 for the whole last year, so -- and on the Government side, they are doing as well as they can in a very difficult market. We do expect the next 3 quarters to be very respectable and with a little luck in normal days of Washington, that segment is going to do very, very well long term.
Joe Box - KeyBanc Capital Markets Inc., Research Division: Right. Henrik, last quarter, you -- I think you mentioned about a $5 million to $7 million potential costs savings from branch consolidation. Can you maybe just tell us where you stand on closing some branches? And what's included in your FY '13 guidance?
Henrik C. Slipsager: Right. First of all, I would like to, again, point out. Tomorrow, we have this investor call -- investor meeting where we will be going into details in some of these situations. For the year, I think we have estimated $4 million savings for this fiscal year. It's in our forecast. And for next year, we're looking at $10 million to $12 million level all in, so $8 million more for fiscal year 2014. It's still very difficult for us to estimate, because there are a lot of leases that we need to see if we can negotiate our way out of. On a location-by-location basis, we have started the process, primarily the south and southeast. After that, we're going to move to the Northeast and Midwest, finishing up in the West. The whole process will take around 18 months is our best estimate as of right now. Up to this point, the rollout has been received tremendously, and it's going much better than expected and on plan.
Joe Box - KeyBanc Capital Markets Inc., Research Division: And just to clarify, did you say that there was $4 million of the total $12 million potential savings that's included in your $1.35, $1.45 guidance?
Henrik C. Slipsager: Yes.
Joe Box - KeyBanc Capital Markets Inc., Research Division: Okay. And last question then on the capital structure, if you go to Slide 6 in the slide deck, you kind of give the cadence of debt pay down following some of your past acquisitions. Should we think about the debt pay down following your most recent acquisition it's kind of following a similar cadence as in the past?
Henrik C. Slipsager: A little slower because we are, as Jim mentioned before, we've lost the NOLs. And on the end of NOLs we unfortunately have to pay a little more taxes going forward. But other than that, the pattern's going to be the same.
Operator: I'm not showing any further questions at this time. I'd like to turn the conference back over to Mr. Slipsager for closing remarks.
Henrik C. Slipsager: Well, thank you very much. This was a very good quarter for us. We feel momentum is great. I want to remind everybody that we have this investor call tomorrow, and you're all welcome to come and participate. So thanks for listening and hope to see you tomorrow.
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect, and have a wonderful day.